Operator: Hello everyone and welcome to the Fire & Flower third quarter fiscal 2022 financial and operational results call. My name is Charlie and I’ll be coordinating the call today. You will have the option to ask a question at the end of the presentation. If you’d like to register your question, please press star followed by one on your telephone keypad.  I’ll now hand over to your host, Stéphane Trudel, CEO of Fire & Flower to begin. Stéphane, please go ahead.
Stéphane Trudel: Thank you Charlie and welcome to Fire & Flower’s third quarter fiscal 2022 conference call. I am Stéphane Trudel, President and CEO, and joining me today is John Chou, our interim Chief Financial Officer, and Chris Bolivar, Executive Vice President, Commercial and Growth. Earlier today, the company published its operational and financial results for the third quarter ended October 29, 2022. The results are available on the company’s website and through our filings on SEDAR. Prior to beginning our call, I will direct listeners to the cautionary statement regarding forward-looking information published on the news release for the third quarter of fiscal year 2022, as well as the company’s filings on SEDAR.  Today, we’ll be providing commentary on the third quarter of fiscal 2022 along with an update on our operational improvements and new initiatives that will position the company for growth with the goal of generating free cash flow and realizing our mission of delivering cannabis to the world. We will also provide an update on our expansion plans across North America leveraging our unique technology that enables acquiring customers, converting to sales, and building long term loyalty. We’ll then conclude with a moderated Q&A period from equity research analysts that cover Fire & Flower. The third quarter of fiscal 2022 was the first full quarter to benefit from our new Spark Perks member pricing program launched in mid-May. Using our proprietary Hifyre analytics, we further enhanced our merchandising strategy to tailor to specific customer needs towards the end of the quarter, which has resulted in meaningful margin increases with retail gross profit at 24.3%. This program was quickly adopted by our customers and our frontline team members.  In my visits in store, our team shared their excitement about this program as it enables them to engage and educate customers about the best products at the best prices in stock while not sacrificing innovation. We continue to see year-over-year increases in traffic in store, increased unit sales, and growth in market share. These positive trends in our retail metrics continued in the current quarter and support the positive year-over-year same store sales trends that we have experienced since the launch of the program. Average annualized sales per store improved by 15% compared to last quarter following last quarter’s 18% increase. Our year-over-year same store sales at minus-4% improved again this quarter, continuing the positive trend from prior quarters.  Total consolidated revenue across the segment of digital, retail and wholesale and logistics were $43.8 million, an 8% sequential improvement and a modest increase of 3% compared to the same quarter last year. Our retail revenues increased 9% sequentially compared to the last quarter despite a decrease of two stores in the quarter, and decreased modestly by 2% when compared with Q3 last year with four less stores than last year at the end of the quarter.  At the end of Q3, Fire & Flower represented one of the largest cannabis retail store networks in Canada with 90 stores opened and operating. The net reduction of two stores in the quarter is due to a normal retail practice of network optimization. Our disciplined approach to optimizing our store network demonstrates our focus on profitable stores within the network, which is key in driving our goal of free cash flow.  Our digital revenue segment significantly rebounded from Q2 with revenues increasing sequentially to $3 million from last quarter’s $1.9 million as we enhanced client relationships and resumed and increased data subscriptions in our industry-leading Hifyre IQ data platform. In addition, many major clients have already subscribed to our two new Hifyre products, the consumer insights module and the product distribution module which will add to our monthly recurring revenue in this business segment.  Our wholesale and logistics segment revenues for Q3 were $7.9 million, a decrease of 7% quarter-over-quarter while remaining flat when compared to Q3 of last year. We acquired Pineapple Express in Q1 this year, which brought medical and recreational cannabis delivery capabilities to serve B2B and B2C markets. It should be noted that the decrease came from the Pineapple Express segment while our Open Fields distribution business remained strong. We have now launched our Open Fields cross-docking service in the province of Manitoba and anticipate seeing additional growth coming from the new service being offered in this market. During this quarter, our team has turned the corner on the challenges that the business has seen in past quarters. The past two quarters saw meaningful increases in fundamental retail metrics that continue to drive growth month over month. We will continue to closely monitor these metrics to ensure that Fire & Flower remains competitive and adds to gains in market share and gross profit. Continuously improving on key operational metrics across all business segments and remaining laser focused on our goal of positive free cash flow will be key contributors to our success.  The organization continues to drive change through the Get to Green program, focusing on company-wide top line revenue growth and cost reductions. John will get into more details, but our disciplined approach has resulted in a reduction of $1.2 million or 7% in adjusted SG&A over last quarter, driving our adjusted SG&A as a percentage of revenue lower by 534 basis points. Most of these reductions are structural and our team remains focused on finding ways of doing things differently to continue driving down costs. John will provide more details of our network evolution as we are continuing and will continue to work on high grading our network with the closure of underperforming stores and the opening of new stores that are already showing their capacity to perform up to our expectations. Last quarter, I mentioned that we anticipate 10 stores co-located adjacent to Circle K locations in the next 12 months. I am happy that with the latest licensed sites in Ontario, we now have seven of these stores open, expanding on that innovative asset-light model in these high traffic sites, capturing high margin licensing income.  Our industry-leading Hifyre digital platform continues to be a differentiator for us at retail with now more than 510,000 members across Canada buying in store and through our ecommerce sites, engaging with us through product reviews, shop feedback, and personalized email recommendations. It also is a differentiator for our overall success because it has become a trusted source of data intelligence for many third parties, creating value outside of our ecosystem with insights on customer behaviors and inventory coverage across the industry.  As a hardened store operating platform stress-tested by our 90-plus stores in Canada, it’s now extracting meaningful licensing income from the U.S. from two states, California and Colorado through our partner, Fire & Flower U.S. Its portability across borders and the fact that it’s built to manage highly competitive networks of stores more than individual operators will be an asset for us as more and more states legalize retail cannabis and plans to legalize federally in the U.S. become a reality. We remain active with our partners in the U.S., looking for ways to continue to extract more value from this massive market. Our wholesale and logistics segment has transformed itself in the last 12 months with the addition of Pineapple Express delivery and now our Manitoba cross-docking facility just entering the market. While there is a lot of noise in that segment because of these changes, we remain bullish in our capacity to offer value-added services to our external partners through these services and extracting a stable income at Fire & Flower. While our B2B business is more mature and stable, we continue to experiment to find the right service level and offering for our B2C deliveries and use our Kingston, Ontario market as our test market. We’re happy with the response we’re seeing and excited to see that pulling on the right levers, we can make this value-added profitable service to be added to our already popular Fast Lane click-and-collect service. On October 18, Fire & Flower announced a loan agreement for $11 million with our strategic partner, Alimentation Couche-Tard, and a private placement financing for an additional $5 million subject to the approval of our shareholders. As part of the financing package, there are certain amendments to the strategic agreement with Couche-Tard, including the re-pricing and extension of warrants. More details on this are available on our website in the Special Meetings material, with the meeting occurring on December 16, 2022. We’re excited that our strategic partner is supporting us with a broad, comprehensive financing package in addition to the capital and real estate they are committing by building franchise co-located stores. We view the financing with Couche-Tard as an important component of the potential remaining financing requirements to get the company to free cash flow as well as unlocking additional strategic opportunities for consolidation. As previously mentioned, on November 7 we also announced additional co-located cannabis store sites adjacent to high traffic Circle K stores. This brings the total to seven co-located stores within this program on our initial commitment of 10 stores and further demonstrates commitment to the Couche-Tard partnership. What we’ve seen with the initial performance of these stores is that we’re leveraging the existing traffic of customers already visiting these easily accessible locations many times a week to build our sales in these highly competitive markets. We are seeing convenience, fuel and car wash shoppers appreciate the use of one-stop shopping, especially coupled with the ability to buy online and use our Spark Perks Fast Lane click-and-collect service. Our customer insight module will allow us to ensure we tailor our offer to these new customers and to existing retail cannabis customers that migrate from competitors’ stores to these highly convenient shops. I would now like to turn the call over to John to discuss our financials and provide a more detailed overview for the third quarter financial results. John?
John Chou: Thank you Stéphane and good morning everyone. I’m happy to provide a summary of the financial results of the third quarter fiscal 2022 as released to the markets earlier this morning. To begin, I would like to remind everyone that as in prior periods, Fire & Flower follows a retail calendar with every quarter consisting of 13 weeks. Today, I will be reviewing the results for the third quarter ending October 29, 2022. During the third quarter 2022, consolidated revenue totaled $43.8 million, representing an 8% increase from the previous quarter and a decrease of 3% from the same quarter last year. Consolidated revenue for the third quarter consists of retail revenue of $33 million, wholesale and logistics revenue of $7.9 million, and digital revenue of $3 million.  Consolidated gross profit this quarter was $11.8 million, an improvement of 22% from $9.7 million in the second quarter this year. Gross margin percentage for the third quarter was 27%, an improvement from 24% in Q2. Consolidated gross profit was lower this quarter compared to $15.7 million for the same quarter last year, which represented a gross margin of 35%. Consolidated adjusted EBITDA this quarter was negative $2.8 million compared to negative $6.1 million in the second quarter and positive $2.1 million in the third quarter of last year. This is a very significant improvement of nearly $4 million sequentially, demonstrating our progress on the initiatives that Stéphane had discussed earlier. As Stéphane mentioned, we saw encouraging sequential improvements to all of our key financial metrics this quarter, but the company continues to focus on executing on its strategy to deliver positive adjusted EBITDA and free cash flow. Moving on now to an overview of the segmented results, starting with retail. Our Q3 results reflect the first full quarter since we implemented several new retail initiatives, including the Spark Perks member pricing program, the push to high grade our retail network, and the previously announced Circle K co-located stores. In Q3, we close four retail stores and opened two new stores, ending the quarter with a retail network across Canada of 90 stores compared to 92 at the end of the last quarter. In addition, at the end of the quarter we had a total of three licensed stores in our network, including one Circle K co-located store in Ontario and two licensed stores in the U.S.  Subsequent to the quarter, the company added four licensed high traffic co-location stores in the Greater Toronto market and entered into an agreement to purchase two additional stores in Kingston, Ontario through a share transaction. We have also recently expanded our footprint in British Columbia through the opening of a new store in Kelowna, as well as a new store in Winnipeg, Manitoba.  Retail revenue for the third quarter was $33 million, reflecting an increase of 9% from the previous quarter, contributed to by increases across all the provinces we operate in. This improvement was achieved despite the fact that we had a net reduction of two stores in the quarter and continued weakness in retail cannabis prices in Canada. We were able to increase sales this quarter by achieving improvements in our key retail metrics. Same store sales continue to improve upon the progress we have made in the prior quarters. Q3 same store sales on a yearly basis saw a decrease of 4%, a significant improvement from the declines seen in the previous two quarters. We also saw average annualized sales per store increase by 15% for the third quarter to $1.5 million from $1.3 million in the previous quarter. On a year-over-year basis, retail revenue in Q3 2022 decreased modestly by 2% from $33.7 million in the same quarter last year as we continued to face some headwinds in the industry as a whole, an example of which is the decreasing average price of recreational cannabis products in Canada by 3% for the 12 months ending October 2022.  Gross profit for retail in Q3 2022 was $8 million, representing a meaningful 13% increase from Q2 and a 22% decrease from the same quarter last year. Gross margin was 24% compared to 23% in the second quarter of this year and 30% in the prior year. The sequential improvement of our gross profit and margin reflects our focus on store and merchandising as part of our Get to Green initiative, while the decline year-over-year was expected as we engaged in pricing activities to drive customer acquisition. Adjusted EBITDA from retail in the third quarter was negative $2.8 million, a significant improvement from negative $4.5 million in Q2 and lower when compared to positive $0.9 million in the same quarter last year. The sequential improvements in all the key financial metrics this quarter for retail give us the confidence that our merchandising strategy, consumer engagement programs, and the plans to high grade and evolve our store network are working. In addition, we continue to see positive trends in our Spark Perks program with membership totaling more than 510,000 members today. We have now seen sustained strength in our sales and membership subsequent to the quarter and expect to see continued improvement in Q4. Now turning over to the wholesale and logistics segment, wholesale and logistics revenue was $7.9 million for the third quarter of fiscal 2022, 7% lower compared to Q2 and flat compared to Q3 2021. The quarter-over-quarter decrease was mostly due to a decrease in Pineapple Express delivery revenue offset by continued and sustained growth in the Open Fields wholesale business. Gross profit for wholesale and logistics in Q3 fiscal 2022 was $1.1 million with gross margin at 14%, representing an improvement of 22% versus the last quarter but a decline of 35% compared to Q3 last year.  Adjusted EBITDA for wholesale and logistics for Q3 2022 was negative $0.1 million, an improvement of $0.3 million compared to Q2 this year and a decrease of $1.3 million compared with the same quarter last year. The improvement in adjusted EBITDA for wholesale and logistics quarter over quarter is primarily driven by integration of the Pineapple Express business, while the decrease from the same quarter last year is related higher costs associated with the acquired business, their Firebird Delivery, which was launched in Q2 this year. In addition, we have now started the cross-docking logistics service in Manitoba, as previously announced, which with further contribute to revenue and gross profit dollars going forward.  Turning to the digital segment, digital platform revenue was $3 million in the third quarter, a sequential increase of 55% from $1.9 million in Q2 and a decrease of $0.8 million when compared with $3.8 million in Q3 last year. The significant improvement in digital revenue quarter over quarter reflects the resumption of a number of key account subscribers and a meaningful increase in project-based work during the quarter. We recognized software subscription revenue from Fire & Flower U.S. during the quarter as well, which further built our U.S. revenue base and drove additional recurring revenue. In addition, we have brought in new accounts from the recently developed consumer insights and product distribution modules within the Hifyre IQ platform. Adjusted EBITDA for digital for the third quarter fiscal 2022 was $1.4 million, an increase of $0.9 million from Q2 this year and a decrease of $1.9 million compared with Q3 last year. Again, the sequential improvement this quarter was the result of higher revenue and s lightly lower SG&A expenses. We expect going forward to see a sustained run rate of recurring sales and adjusted EBITDA while growing the new Hifyre IQ product offerings and U.S. software licensing fees.  Overall, consolidated SG&A expenses for Q3 2022 were $15.6 million, an improvement of $1.3 million from $16.9 million in Q2 and an increase of $0.4 million compared to the same quarter last year. SG&A expenses excluding share-based compensation and acquisition-related professional fees for Q3 were $14.6 million compared to $15.8 million for Q2 this year and $13.6 million in the third quarter last year. The quarter-over-quarter improvement was the result of the company’s previously announced Get to Green initiative, including reductions in payroll, professional fees, marketing expenses, and other G&A costs. The modest year-over-year increase in SG&A expenses was mostly due to the addition of Pineapple Express delivery and PotGuide, and expenditures incurred related to expanding the Hifyre platform and launch of Firebird Delivery and Spark Perks member pricing. Consolidated adjusted EBITDA for the company for the third quarter was negative $2.8 million, representing a 54% improvement from last quarter and a decline from positive $10.1 million for the same quarter last year. The quarter-over-quarter improvement in adjusted EBITDA reflects the increases in revenue and gross profit and the reduction in SG&A expenses in the quarter. The year-over-year decline reflects the ongoing headwinds faced by the cannabis industry affecting our gross profit and a slight increase in SG&A expenses.  Free cash flow in Q3 fiscal 2022 was negative $6 million, resulting from cash used in operations of $2.4 million, lease payments of $2.6 million, and capital expenditures of $1 million. Free cash flow for Q3 was an improvement from negative $9.9 million in Q2 and $8.6 million in Q1 this year, reflecting the company’s focus on increasing top line and gross margin while reducing operating expenses.  At the end of Q3, the company had $13.2 million in total debt versus $21.8 million at the end of the last fiscal year end. Total debt at the end of this quarter included the $11 million senior secured loan with Alimentation Couche-Tard that was closed and received in October 2022, reflecting the confidence and continued commitment to Fire & Flower by our largest shareholder.  Last, I want to remind everyone again that we have changed our fiscal year end from a 52 or a 53-week period ending the Saturday closest to January 31, to a calendar 12-month period ending December 31, therefore the third quarter will be the last quarter where the period end does not coincide with the calendar end. As a result, our fourth quarter results will reflect the operations from October 30 to December 31, 2022.  Now I will turn it back to Stéphane.
Stéphane Trudel: Thank you John. Some concluding remarks before we move onto questions from research analysts covering Fire & Flower.  I’m excited to see the path we’re on. The retail cannabis market continues to grow in Canada despite the negative news that mostly focuses on the licensed producers. Our people on the frontline are passionate and continue to educate existing and new customers to the ever-expanding product offering and innovations that continue to flow in the market. I can’t help but feel energized and positive about our long-term journey when I visit our store managers and bud tenders, as I did last week in Ontario, and look at the positive interactions they have with our customers.  Our stores and our employees have become an important part of communities across Canada and service adults of all ages from all walks of life. Again this year, to support these communities and live up to our core values, we’re supporting the Second Harvest food rescue charity in December by collecting donations and providing a corporate matching donation.  The positive impact to communities now extends globally. New jurisdictions legalizing in the U.S. and now the EU show a path to a stable, profitable global market, as we are now starting to demonstrate with our licensing revenues coming from the U.S. The learnings from our home market, the first G7 country to legalize, are used as a lab to thrive in highly competitive situations will pay off for this long game that we’re playing. We are on a clear path to free cash flow generation.  Some level of market consolidation will support the continued improvements and metrics for companies that can scale efficiently. As some players exit for a variety of reasons like low sales, local competition, unfavorable leases, and inability to raise capital to continue operating, we are poised to capture the growing demand of cannabis at retail and benefit from improved unit economics. We target a 10% market share in all markets we operate in and look to do it by opening or acquiring stores and maximizing the organic performance of our current store portfolio. In closing, I would like to thank our team at Fire & Flower for their focus on execution and delivering tangible results. I would also like to thank our loyal shareholders for being supportive of our mission to deliver cannabis to the world. Know that our team wakes up every morning wanting to do the right thing and playing to win. I would now like to turn it over to the Operator for questions. 
Operator: [Operator instructions] Our first question comes from Andrew Semple from Echelon Wealth Partners. Andrew, your line is open. Please proceed.
Andrew Semple: Hi there. Good morning and thanks for taking my questions. Congrats on the improved performance during this quarter.  Firstly, I just want to ask on the digital revenues. Can you maybe speak to some of the key drivers behind that performance, and I guess more importantly, whether you believe that could be sustained into the fourth quarter and into the new year. How sticky were some of those revenue bases or was some of that revenue generated in the third quarter, because we have seen some lumpiness in that segment in prior quarters.
Stéphane Trudel: Good morning Andrew, thanks for the question. Good to hear from you. Yes, so we’re definitely seeing this as a sustained run rate for recurring revenue in digital. I’ll let Chris Bolivar give you a bit more color on that side, but we’re really excited we’ve turned a corner on the digital side and really comfortable that what we’ve guided to in the past, we can see the sustained run rate being there. I’ll let Chris handle--give you a bit more color here.
Chris Bolivar: Yes, good morning Andrew. Thanks very much for the question. Definitely the digital segment, we saw some significant sequential growth. What that was driven by was really the resumption of a number of subscriptions by some of our key account partners, as well as an increase in some data subscriptions from the new services, which included the consumer insights module and the product distribution module that we now have in the Hifyre IQ platform, as well as really a meaningful increase in project-based work that we do within the data business. We do see the run rate for the digital revenue segment being in and around $3 million. We do see some opportunity for growth in that in the future. Of course, Q4 for this year with the stub period, we’ll really maintain that monthly run rate that we have there, but we do see this trend continuing throughout 2023 with a run rate of quarterly recurring revenue in and around $3 million.
Andrew Semple: Great, appreciate that color. Turning to retail, just wondering with the first full quarter of the Sparks Perks membership program and market and improving retail sales that we saw this quarter, are there any provinces in particular that stood out in terms of consumers responding well to the new membership program, and any provinces you think you may need to do a bit more work to get the message out there or continue to re-calibrate the store network? 
Stéphane Trudel: Yes, great question, because this was new. We entered a program that we needed to sell to consumers, and I’m really excited because it’s been really a positive reaction in every market we operate in. We’ve made gains in market share in every province we operate in, as shows in overall gains in market share, so every market has responded quite similarly so we definitely try to--we follow our metrics on a weekly basis, so we think we made the tweaks that are necessary to remain with a positive trajectory but we’ve seen every market respond to that offer.  Best products at the best prices is definitely a value play that people were happy to see us take, and the fact that we’ve been able to grow our gross margin percentage throughout all of this is really a testament to the hard work that the team has done to find the right sweet spot that customers respond to but that doesn’t give away the farm.
Andrew Semple: Great, appreciate that.
Chris Bolivar: I can provide some further commentary on that, if you like as well. I think that what we see as well is in terms of the gross margin profile that comes across each one of the provinces, historically we’ve seen a little bit of a healthier gross margin profile in the province of Alberta with greater upside in the province of Ontario, so we did see some very significant sales growth with some gross profit growth in the province of Ontario which certainly drove a lot of the improvement in that, and Alberta continues to be strong. What is really interesting, though, is the category performance specifically. When we look at where we’ve driven gross profit increases, the largest increases in gross profits have come from the categories of pre-roll and vape, where we saw gross profit percentages increasing north of the 20% increase in variance sequentially to quarter, so I think that there’s two ways to look at this. You want to look at what the growth is in a particular province, but as well when we look at our merchandising strategy and our assortment strategy, how we’re really using a tailored and targeted approach to drive price credibility with the member price program, but then also layer on the ability to drive additional gross profit dollars through basket adders and categories that are higher margin categories.
Andrew Semple: Thank you Chris. I appreciate that additional layer of details. That’s helpful, especially on the category side. Maybe another quick one, if I may, and--a quick one here. Just on the SG&A, we saw in the third quarter--you know, obviously being closer managed. Did that represent a full quarter of the actions you took or is there still more of that to flow into Q4?
Stéphane Trudel: The Get to Green program really was initiated really at the beginning of--when I came in, and we’ve got initiatives that we could action really short term and you’re seeing the benefit of that, but there is more of these initiatives that we can action along the way. Obviously leases, reviewing our leases is one example where sometimes it takes time to action some of these initiatives, so there is more to come there, and really it’s going to be a key contributor to our--to positive free cash flow, but there is more capacity for us to extract and reduce our SG&A as a percentage of sales.
Andrew Semple: Great, thank you for taking my questions, and appreciate it. I’ll get back into queue. Thank you.
Stéphane Trudel: Thanks Andrew.
Operator: Thank you. As a reminder, if you wish to submit a question, please press star followed by one on your telephone keypad now. Our next question comes from Justin Keywood of Stifel. Justin, your line is open, please go ahead.
Justin Keywood: Hi, good morning. Thanks for taking my call. Just on the gross margins, I’m wondering if we could parse out the gross margins for retail versus digital and the improvement in the quarter. Was that largely driven by the digital strength, and are you seeing any stabilization of the gross margins for the Canadian retail market?
Stéphane Trudel: I’ll ask John to just give us the split between the retail gross margin and digital here, and--but we’re definitely seeing a stabilization on our side of retail margin and even growth, as Chris mentioned. John, can you provide the details?
John Chou: Sure. Good morning Justin.  We saw improvements in gross margin from all three segments, so with retail, gross margin improved to 24% from 23% last quarter. On the digital side, it also went up from 89% to 91% this quarter. Like Stéphane said and Chris explained, the improvement is really contributed by leveraging our digital insights as well as our Sparks member programming, so despite--you know, we were able to improve margin because it gave us differentiation in terms of some of the product mixes. On the wholesale and logistics side, despite the decline in overall revenue, the margin actually also improved from 11% to 14% - again, that’s mostly driven by improvements--increases in the Open Fields business.
Justin Keywood: Thank you, and then I believe in the--oh sorry, was there a follow-on there?
Stéphane Trudel: I was just--well, no. Maybe just again a bit more color on the gross margin on the retail side. That’s where a lot of the work that we’ve put into--and I think your question was really also to get more color on the ability for us to continue growing that margin in the markets. Maybe Chris can give us a little bit more color again there.
Chris Bolivar: Yes, so I think as it relates to the competitive market, what we’re really watching is as we’re driving this merchandising strategy, as we’re driving change in the organization, what are the effects on the market share that we’re seeing. We’re seeing continued improvements on the market share. I think to the question of the margin profile across the industry as it compares to Fire & Flower, I think there’s two ways to look at that. You want to look at what the margin profile is from retailer to retailer, but as well what the sales mix is, because the sales mix is really going to determine where you can drive incremental margin opportunities in those categories. I think that what we’re seeing is across the industry, we’ve seen--you know, we have seen increases in gross margin percentage at product. I think the distinguishing factor here, though, is rather than taking a blanket discounting strategy, how we look at a particular category, like the category and sub-category of multi-pack pre-rolls, the dry flower format, these are a lot of those categories that are driving traffic and driving price credibility in the market, but then again, how do we layer on a category like vapes. For instance, we significantly over-index in the vape category, so the category average across the industry is 15% in the category, we’re producing 22% of that, so it’s certainly a higher margin category. Edibles, we over-index slightly, and then we’re basically flat on flower to the rest of the market, so. That would be how I would look at the distinguishing factors between how we’re performing and what’s out there in the market, but definitely seeing positive trends in terms of the gross margin percentage offered to the customer. 
Justin Keywood: Thank you for the additional color. Then in the opening remarks, I believe I heard there was some project-based work. I’m just wondering what that project-based work contributed in the quarter and what is the expectation going forward, or maybe to ask another way, what’s the pure recurring revenue or a good run rate to use for the digital services revenue? Thanks.
Stéphane Trudel: I think our run rate of around $3 million per quarter is what you should be using. As Chris mentioned before, there is opportunities for growth. We’ve launched a new module there, so I think for your modeling, you should be using a $3 million recurring in digital with opportunities to increase as we expand our co-located store franchise network and get more activity south of the border as well, which will flow in our digital revenue.
Chris Bolivar: Yes, we don’t report the detail of the revenue within that quarter and within that segment. I would say that the amount that’s coming from recurring revenue is the most meaningful amount in that segment. The other piece I would really draw your attention to, though, is for this quarter, we’ve produced--really, 10% of the revenue mix has come from the U.S. market, so as we look to further commercialize the Hifyre software business in the U.S, we expect there to be some opportunity on that, but a majority of the revenue and the Canadian revenue is coming from recurring-based revenue in that, and then the U.S. [indiscernible] certainly watch for.
Justin Keywood: Thanks, and Chris, that’s 10% of the digital revenue is coming from the U.S.?
Chris Bolivar: The U.S., yes, for this quarter. We had 10% of the revenue coming from U.S.-based sources. 
Justin Keywood: Understood. Thank you for taking my questions.
Stéphane Trudel: Thank you Justin.
Operator: Thank you. As another reminder, if you wish to submit a question, please press star followed by one on your telephone keypad now. Our next question comes from Frederico Gomez of ATB Capital Markets. Frederico, your line is open. Please go ahead.
Frederico Gomez: Yes, thank you. Good morning Stéphane, John and Chris. Thanks for taking my questions. I guess my first question is just coming back to gross margin at the retail level. I think Chris mentioned--you know, he talked about Ontario, the improvement there, and I know that you guys have the Spark Perks member pricing program and you are leveraging that to grow margins, but are you seeing any impact of in terms of [indiscernible] pressures easing across the markets you’re in, any specific province where you see store closures from competitors and potentially benefiting you in terms of sales per store and margins?
Stéphane Trudel: Good morning Fred. I would say again, it’s really across all markets, we’re seeing the competitive landscape changing. I think there is--and we’ve heard it from others as well, there’s been less pressure on margins as well as store closures really across the country, and even when the stores don’t close, I think anecdotally we’re also seeing competitors running out of stock, so the fact is the stores may not be closed but they may have reduced their hours, they may have reduced their inventory to conserve cash, so this allows us to get into these markets and just increase our market share and take advantage of the situation by having the right product at the right price, being in stock, having our staff knowledgeable about the products and having the staff engaged and working with the tools we have with Hifyre to make recommendations to these customers, driving them to buy one more unit with us, come back one more time.  All of that makes for us inching our way up on market share in every market that we’re in, so I would say--like, a market like Saskatchewan is one where we’ve grown substantially, we’ve established ourselves as a leader in that market, and we’re happy with the growth that we’re seeing there. We’re also extremely happy with the market of Toronto. The Greater Toronto market has really been one that has performed extremely well for us, so even though--you know, you could say that Ontario and Toronto is a tough market, and it is, but we’re seeing our stores really pick up substantially in it, which bodes well for us because we obviously want to have a leadership position in Ontario, and seeing how stores react in that usually important market in the GTA is really encouraging for us, seeing that the strategies work. 
Frederico Gomez: Okay, thanks for that color, Stéphane. Then related to that as well, you are increasing sales per store on an annualized basis, you had a good increase this quarter. I assume you want to keep that growing and I assume that you are growing that, but do you expect that same pace of growth going forward, and how do you balance that with trying to keep your gross margin increase as well? How do you balance growth with profitability from that standpoint, and is there any gross margin level that you think you’re targeting and that you think would be sustainable over the long term? Thank you.
Stéphane Trudel: That’s a great question, Frederico. We’re obviously balancing that, it is a balancing act - that’s really the right word to use here, so we really track transactions, when we increase transactions in our stores. We have more people coming in our stores - that’s a sustainable trend. We’ve seen this trend now for the last three quarters, since really the launch of the member pricing program. We’ve seen increases in transactions per store, increases in units sold per store, so we’re getting more people in our stores and we’re getting them to buy more units. Now, the price compression hasn’t helped to support actual sales dollars, but we haven’t sacrificed gross margin dollars because we’re--as we’ve seen, as we’ve tweaked the make-up of our mix, as Chris said, we’re playing with our mix, we’re playing with the products that we buy, and we’re constantly looking at market share. Our goal is to sustain the market share and grow it, and as I’ve mentioned before, there are factors external to us in the competitive market that I believe will allow us to continue growing our sales, average sales per store simply by executing on what we’re doing right now and making sure we continue to adapt and change the sales mix quickly, react to changes and really track the market share and make sure we capture our fair share of what will be released in the market when competitors close.
Frederico Gomez: Okay, thank you. Then maybe just a last question here on your Circle K co-located stores. It seems like it has progressed well in terms of pace of expansion there, and I know it’s early days, but you could comment on any differences you see in terms of sales per store for those co-located stores versus your corporate stores, and also not only your sales but also, do you see any difference in the gross margin profile from customers that buy in those Circle K co-located stores versus for corporate stores?
Stéphane Trudel: That obviously is something that we’re going to track very closely, because we believe that they will--they will be reacting a bit differently than the rest of the network. It’s very early, so we’re tracking them on a weekly basis. We’re seeing week-over-week growth that’s extremely encouraging because we’re obviously coming in markets where other players are established, so really inserting the new stores there but building on the existing traffic that’s already coming to these locations, sometimes on a daily basis.  What we see is we have a lot of customers that come back more than once a week. Anecdotally, when talking to the managers of these stores, that were previously managers of single store, even competitor stores, we’re seeing customers there being a little less price--a bit more elastic on pricing and, let’s say, more interested in convenience than large packs. I think what we’ll see there is a little bit of capacity to extract more gross margin from these transactions and a different mix, probably more with--it could be less units per transaction but more transactions.  It’s early in the life of these stores, but we’re excited to see the week-over-week growth for these stores that, as I said, were just inserted in markets that were already quite busy with competitors, so we’ll come back with more learnings as we go in the next quarters, and we’ll be happy to share that as we believe it’s a great lever for our own growth here.
Frederico Gomez: Thank you, I appreciate that. Congrats on the quarter. Thanks for that.
Stéphane Trudel: Thanks Frederico.
Operator: Thank you. As a final reminder, if you wish to submit a question, please press star followed by one on your telephone keypad now. At this stage, we currently have no further questions, so I’ll hand back over to you, Stéphane Trudel for any closing remarks.
Stéphane Trudel: Thanks for joining our call this morning and for your interest in Fire & Flower. We look forward to continuing our mission of delivering cannabis to the world and to share our progress with you the next quarter, so have a great day and thank you. Operator, thank you, and you can now end the call.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for joining and you may now disconnect your lines.